Operator: Hello and welcome to the Cumulus Media 2008 fourth quarter earnings release conference call. At the request of Cumulus Media, this conference is being recorded for instant replay purposes. Please note that certain statements in today’s press release and discussed on this call, may constitute forward-looking statements under the federal securities laws. These statements are based on management’s current assessments and assumptions and are subject to a number of risks and uncertainties. Actual results may differ materially from the results expressed or implied in these forward-looking statements due to various risks, uncertainties or other factors. I would now like to introduce Mr. Lew Dickey, Chairman, and CEO of Cumulus Media. Sir, you may begin.
Lew Dickey: Thank you, operator, and good afternoon everybody. I appreciate you taking the time to receive an update today on our performance. I’m joined by our CFO, Marty Gausvik. I apologize in advance for the quality of the audio as I am on cell phone for this call. This afternoon, we are going to update you on our fourth-quarter performance and provide guidance for the first quarter of 2009. Starting with Q4 results, our pro forma cash revenue for all markets is down 10.2% to $70.8 million. This was squarely with our guidance of down 9% to 11%. Operating expenses for the period were down 9.2% well ahead of our guidance of down 5% for an OpEx for the period. On the top line in Q4 we have five markets, which posted a double-digit revenue increases. Now, weakness in the quarter stemmed from the obvious categories of automotive, financial services, home-improvement, and furnishings, and then retail in general. Moving down the income statement, our pro forma adjusted EBITDA for Q4 was down 16.6% to $22.8 million. Our free cash flow however declined almost 6.4% to $13.8 million, due primarily to the decline in revenues. As of the end of February, we are sitting on a cash balance of approximately $57 million. Now looking ahead as we talk about the first quarter, our pacing which is the information that I will give today here we are in March 16. Our pacing is currently down 25% for Cumulus Media. For the end of the year, we undertook an expensive review of our fixed cost structure however in the face of this declining revenue fixture. And as a result, we reduced our overall fixed cost by 15%. These cost cuts were primarily the result of the implementation of proprietary technology, enterprise software that we have been developing over the past few years that has enabled us to reduce headcount and increased operational efficiencies. As a result, we expect our operating expenses for the first quarter of 2009 to be down 15%. Now I’m going to turn it over to Marty Gausvik, who’s going to provide you with a financial overview and then we’ll open it up for questions. Marty?
Marty Gausvik: Thanks, Lew, and good afternoon everyone. During Q4, net cash revenues were down 10.5% on an actual basis and down 10.2% on a pro forma basis after giving effect to the sale of our Caribbean stations in November 2007. During Q4, we have seen an acceleration in revenue declines, which is directly correlated to the current economic downturn. Station operating income was down $4.5 million or 14.3% on an actual basis and $4.4 million or 14.2% on a pro forma basis to $26.8 million during the quarter. EBITDA decreased by $4.6 million or 16.8% on an actual basis and decreased $4.5 million or 16.6% on a pro forma basis, when compared to the prior year finishing the quarter at $22.8 million. Station operating expenses decreased by 9.2% during the quarter to $48.3 million, the decline was primarily attributable to a decrease in program expenses, decrease in marketing and promotional expenses and a decline in commission expenses associated with the revenue decline. Based upon the cost cuts we implemented at the beginning of the year, we expect station-operating expenses to decline by approximately 15% during the first quarter of 2009. For the quarter, total corporate overhead was up ever so slightly at $4 million and it is anticipated that corporate expenses will hold at that level during 2009, for Q1 ’09. Moving on to free cash flow, for Q4 we produced $13.7 million in free cash flow, compared to $14.7 million during the prior year. We offset most of the decline in EBITDA through a reduction in interest expense and just for your information, free cash flow is defined as EBITDA, less net interest expense, less LMA fees, less maintenance CapEx, and less cash taxes, which we had none. Moving on to capital expenditures, we’ve really trimmed back on our CapEx, we had $6.1 million of CapEx for the year, however in Q4 we only spent $0.9 million and we were looking to cut that into half in 2009 and we are looking to spend no more than $3 million in CapEx and we may even spend less than that. Moving on the balance sheet, our leverage breaking ratio as defined in the credit agreement was 7.4 times at year-end compared to the 8.5 times covenant. Leverage net of our year-end cash balance of $53 million was 6.87 times and our interest coverage ratio for the year was about 2.52 times, so we were covering our interest very well and it’s one of the reasons we are still generating a significant amount of free cash flow. With that I would like to open up the call for questions.
Lew Dickey: Operator?
Operator: (Operator instructions) And we will begin with Marci Ryvicker from Wachovia Wells Fargo.
Marci Ryvicker – Wachovia Wells Fargo: Hi, good afternoon.
Lew Dickey: Hello.
Marci Ryvicker – Wachovia Wells Fargo: You both mentioned that operating expenses would be down 15% for the first quarter is that a fair assumption for the entire year?
Lew Dickey: Yes, it is Marci.
Marci Ryvicker – Wachovia Wells Fargo: Okay. And then, can you provide us with any color on Nielsen radio rating?
Lew Dickey: Well, as you know, we signed a deal with Nielsen to up – to measure about 50 of our markets beginning this year and they just completed the pilot, which was in Lexington, Kentucky and it went extremely well. And as I mentioned recently the pilot was really focused more on logistics and methodology, the methodology has been owned in several countries where they have been measuring radio with a (inaudible). So, we have been extremely pleased with the results and the test in Lexington proved overwhelming positive, increased the number of quarter (inaudible) radio and increased – what we found across the board is that, because Nielsen has been sampling cell phone over households and it is up to 12% of the population right now, which we have not been sampling with Arbitron, this immediately what we found is that the cell phone only owning household have a greater propensity to consume radio than not and so if anything on a weighted average basis it increased the overall consumption of radio, it really showed the viability of our radio. And the cell phone owning household, which can be construed as the younger people who tend to be more technological savvy, I think what it speaks to is if we refuse the point that radio has lost its relevance with young people and that radio is a media for – transport [ph] radio is a medium of what I [ph] and so simply we are fields backs heads up and says that now the people who would be more and have a greater propensity to adopt new technology and move to wireless indeed a cell phone owning household they actually are consuming more radio than those that are – so we were encouraged by that and I believe the industry, this shows that the industry has left a lot of money on the table because there has been an inaccurate methodology for sample or consumption because we literally except the population has been left out of the sample play.
Marci Ryvicker – Wachovia Wells Fargo: Thank you.
Lew Dickey: Welcome.
Operator: And next, we will hear from David Bank from RBC Capital.
Sean – RBC Capital: Hi this is actually Sean [ph] for Dave. I think I missed the part of your leverage ratio, can you go over that once again and
Lew Dickey: Sure.
Sean – RBC Capital: And go over the covenants and if there is any step down is there, thank you.
Marty Gausvik: Yes it is correct yes. Our current leverage ratio – our covenant ratio is at 7.4 times and we have a significant amount of cash, which brought our net leverage down at 6.87 times, but we don’t have a net leverage covenant test for our banks and so we are at 7.4 times with a covenant of 8.5 and we step down to 8 times at the end of the year.
Sean – RBC Capital: Great. Thank you.
Marty Gausvik: Okay.
Operator: It appears that’s all the questions we have time for. I would like to turn the conference over to Mr. Dickey for closing remarks.
Lew Dickey: Thank you all. I appreciate everybody for taking the time to receive an update on our performance today. If you have any questions please feel free to give either Marty or myself a call and we look forward to speaking with you all in about 80 days. Thank you very much. Have a good day.
Operator: And this concludes today’s Cumulus Media fourth quarter 2008 earnings release conference call. Thank you for attending. You may disconnect at this time.